Bradley O'Connor: Good morning, everyone. My name is Bradley O'Connor, I'm the Chief Executive of Cogstate. I'm joined this morning by Darren Watson, who's our Chief Financial Officer. And we're going to take you through the half year results for the 6 months ended 31 December 2022. Today's presentation includes some forward-looking statements. Therefore, I note our disclaimer, stating that this information is general in nature. Encourage everyone, of course, to consider your own investment objectives and also to review in detail our half year financial statements that were lodged with the ASX earlier this morning. Following the presentation, we'll take some questions today. If you do have a question, you have 2 ways in which you can ask. Firstly, you can type your question in the control panel and they'll be read by the moderator or alternately, you can raise your hand and have your line unmuted to ask a question. So let's get into it, and I'll run fairly quickly through the opening remarks because I think a lot of people on this call will probably see this material already. But I think it's still important to note that since our inception in 1999, the Cogstate Day Investment thesis has been focused on an aging population, an increasing incidence of Alzheimer's disease and the need to provide technology solutions to simplify the measurement of cognition for patients, for their doctors and for the companies developing new embedded therapies. And that sort of summarizes into this idea that we believe that brain health is important and brain health assessment should be easily available to everyone. And what we do at Cogstate provide is combine proven science and technology to make assessment of cognition as simple as a measurement of blood pressure. COGS over sounded more than 20 years ago in Australia. But by and large, now we're a U.S. organization. We're a team now that's growing substantially around 390 people, including around 200 full-time employees and then a number of neuropsychologists who could solve the CogState from around the globe. Our technology solutions are based on excellent science. And since our inception, we've supported more than 2,000 academic and clinical research studies and over 2 million Cogstate tests have been administered. Our largest customer base is pharmaceutical and biotech companies who are developing new drugs, and we help those companies determine whether the drug is impacting cognition. In the coming years, with the release, well, we hope with the impending release of new therapies for Alzheimer's disease, Cogstate is uniquely positioned to support the identification of cognitive impairment that might be associated with Alzheimer's disease or other indications. Cogstate course works across a range of disease areas, but a majority of our revenue comes from Alzheimer's disease, and we'll talk about that as we get through the presentation. So with those opening remarks complete, I want to hand over to Darren Watson, our CFO, to talk through the financial results.
Darren Watson: Thanks, Brad. So the next chart here outlines our financial results for the first half of 2023. Starting with new clinical trial sales. We executed $27.3 million for the half, which you can see is down 50% on a year ago. A year ago included the single largest contract we've ever executed, which was more than $30 million. However, the result is consistent with the second half of financial year 2022. We're down 2% from that result. But it's better than both the first half and second half of 2021, up 10% in '21, respectively, on those periods. So a positive performance in light of that. Alzheimer's continues to dominate the sales performance, representing 82% of our first half sales number. On contracted future revenue has continued to grow, it's up 10% from a year ago to $147 million, continuing to set the business up for future growth of the total contract of future revenue, $110 million is in clinical trials, which is up 20% on a year ago, while the remaining 36.7 million is health care backlog, which reflects the ongoing recognition of the Eisai Global deal. Our group revenue was $9.5 million for the half year, down 15% from a year ago. That's largely a result of slower-than-expected recruitment of patients in a small number of our larger clinical trials, approximately $3.3 million of revenue that was under contract at 1 July, which was expected to be recognized in this half has been deferred to subsequent periods. It's important to note that, that revenue has not been lost. That is merely being deferred into future periods, which I'll cover a little bit more -- in a little bit more detail in a moment. This revenue decline has clearly impacted our clinical trials margin, which you can see for the first half was 46%, down 11 points from a year ago. The clinical trials is largely a labor-based business and therefore, a fixed nature, meaning that the decline in revenue has directly impacted on our margins. The staffing levels have been maintained in order to deliver on large trials that we are seeking to win in future periods and ensure that we can deliver to those contractual requirements. The margin was also impacted by a slower software license mix, which at 13% for the half was lower than our historical range, which has been around the 17% to 19% level. The revenue margin declines had a corresponding impact on EBIT, which you can see for the first half is a small loss of $200,000, though down considerably from where we were a year ago, as I mentioned, largely driven by the revenue decline. We do, though, remain very strong from a cash position, with net cash on hand of $27.7 million, an increase from $3.1 million a year ago. Turning to the next chart, just looking at future contracted revenue chart just illustrates here the growth in our contracted future revenue over the last several halves. As I mentioned before, we're now almost at $147 million of revenue under contract, $110 million of that being clinical trials, which is growing from 20% a year ago and the balance being the Eisai, which is the amortization of that revenue over the period of the Eisai contract. Turning to the next chart, we'll just detail out the runoff of their future contracted revenue. As you can see for FY '23, we now have $39.4 million of revenue under contract. But importantly, for FY '24, the revenue under contract stands at 36.8%, being 32.6 million in clinical trials and $4.2 million in health care. This compares to $30.7 million a year ago and represents 20% growth year-on-year. So it positions us well as we head into financial year '24. Additionally, you can see that the subsequent years also show strong growth. So we continue to build a future contracted revenue position that positions us well for growth in the future. If I turn to the next chart, just to provide a little additional detail around our financial year '24 backlog position. You can see that at 1 July, which is from our 30 June full year reporting period, our FY '24 backlog at that point in time was 28.8% for clinical trials. To that, we've added $3.9 million from the $27.3 million of contracts -- new contract sales executed in the first half. And as I mentioned before, we've had revenue delays from FY '23 into FY '24. I mentioned $3.3 million in the first half. The full year deferral of our revenue is approximately $5 million, which we see moving to FY '24. However, offsetting that, we have seen revenue delay from FY '24 and into subsequent periods of approximately $4 million, and this is also associated with the patient enrollment delays that I mentioned have impacted our first half '23 revenue. In addition to that, we have had one trial that has concluded, and we've reconciled the final backlog with the client and have removed $1.1 million from our FY '24 backlog, leaving us with $32.6 million of revenue under contract for the FY '24, up 13% from where we were a year ago and positioning ourselves for growth going into FY '24. This -- just to provide some context here around how the backlog has moved. So say at 30 June, we reported $139 million of backlog. At 30 December, we're at $146.7 million. The important point to note here is the growth in FY '24 and certainly FY '25. The one that stands out is FY '27, the growth from the prior 2 reported Quip periods, which is really a reflection of the fact that these studies that have experienced patient enrollment challenges have moved their end dates. If you like, into FY '27, and therefore, we see a number of closeout activities moving into FY '27 for those trials. But as I mentioned, the important takeaway from here is we continue to grow our backlog for future years and positioning the company for future growth. With that, I'm going to hand back to Brad.
Bradley O'Connor: Thanks, Darren. What I want to do now is just to dig into some of the segment results in a little bit more detail, firstly, with clinical trials. So I think the thing to note to you is that -- and really, this just draws out the detail that Darren provided previously that we've seen a relatively stable cost base. We have some small increase in costs there, which is the -- on the left screen, the green bars below the line, if you like, a fairly constant cost base, but we've seen that revenue decline, which has really impacted margins. And then as Darren called out, the software license mix substantially lower in that half. We don't see any -- we don't see a recurring nature to that as more just reflective of the contracts we entered into during that half year period. If we drill into that in a little bit more detail, Darren took you through the detail of the total quantum of sales contracts executed during the half year, probably pretty important to note the degree of Phase III studies that we're now winning work for and that are contributing to sales contracts. And that's really reflecting the fact that more and more Alzheimer's disease treatments are pushing into that Phase III territory. When we look at the clinical trials business, we're -- at a high level, we're really working through different dynamics in this business. So we're seeing a huge increase in opportunity in the marketplace. But we're also trying to deal with these short-term revenue delays that we're seeing. And we're trying to manage both of those things. So where the sales opportunities coming from. Certainly, we're seeing an increase in Alzheimer's as R&D across the whole industry. We're seeing a move to more decentralized clinical trials and we believe that Cogstate providing key technology and scientific support in respect of those trial designs. And we're seeking to secure sales contracts in indications outside of Alzheimer's disease. We're very conscious of the revenue concentration that we have around Alzheimer's disease, and we are seeking to leverage our scientific credibility and our technical validation and push into other indications such as depression of new disorders. From a cost base point of view, we're certainly seeing some small increases in costs, both in terms of the direct cost of delivering clinical trials and then the direct costs associated with selling activities. As we've moved to more decentralized trials and supporting those trials it's been necessary to add clinicians to our employee base to deliver essentially what a telehealth style assessments in the conduct of clinical trials. And similarly, as we're seeking to grow into -- and to capitalize on the market opportunities, we have added increased scientific support, I think, technical sales support to our business development teams. In terms of the sales contracts executed through the first half of the year, 82% in Alzheimer's disease 6% of depression, which is really encouraging. Approximately 13% of the sales contracts through channel partners, only around 5% of the sales contracts. And again, this is all by value. We're in respect of decentralized clinical trials, but I think really important to note that there's multiple pilots underway where we have pharma companies validating decentralized approaches, and we anticipate that will lead to further contracts in the future. $110 million of clinical trials, contract revenue, as Darren mentioned, important to know 87% of that relates to Alzheimer's disease. Turning our attention to the health care business. Just as a refresher, our reported numbers in health care really the amortization of the Eisai agreement. So we've entered into a global license agreement with Eisai to take our technology to market in what we call the health care segment, which is physicians as well as direct-to-consumer. The -- under those agreements are the 2 agreements, one for Japan and one for the rest of the world. We have received already total upfront payments of USD 16 million. We will receive royalty payments from the use of our technology over the course of 10 years. Overall, the payments cannot be less than $30 million across that 10-year period. Eisai are funding all development activities or regulatory and all commercial activities and all data is jointly owned by Cogstate. When we look at the financial performance of the health care sector, we see that, that's very consistent with the prior periods as we'd expect because as I said, is really the amortization of that contracted revenue. Looking at what's happening in the business, we're seeing Eisai continuing their rollout, particularly through the Asian region. We have launched a direct-to-consumer product in both Thailand and Korea inside the last 6 months. In terms of the U.S. activities and preparation for the potential impending launch of Eisai Alzheimer's therapeutic. We're working on a memory-specific instance of Cognigram. We think that that's really important to provide a very usable tool and the simplicity of that tool and the ease of use will be important factors in terms of adoption of the technology. The existing Cognigram product was established as a general cognitive screener. What we're seeking to do now is develop a shorter version of that. The focus is only on the memory impairment and the memory assessments, which are obviously critical in the assessment of Alzheimer's disease. It's important to note that Eisai are funding that development work, and we expect to have that work complete this calendar year and certainly ahead of the potential launch of their therapeutic. So let's turn our attention to the Alzheimer's disease market and what's happening there. What I wanted to do to start with is to spend some time talking about the drivers of growth in Alzheimer's R&D spend that we're seeing now and which, to be honest, we've seen over the last few years. Obviously, there's a huge unmet need for new treatments for Alzheimer's disease, a slow progression of that terrible disease rather than just treating the symptoms. Over the last 10 years, the development of biomarkers such as PET imaging that's enabled us to measure accurately the buildup of Analog parks and the brains of people with Alzheimer's disease has enabled us to measure how advanced the disease is and whether treatments are reducing those parts. -- Which is similar to in concept of how we measure tumor size in oncology. The pharma companies have identified that the addressable market is really large. And especially when we consider the earlier stage of disease. And as the successful conduct of trials in really early stage disease, such as the NIH funded A4 trial, as those have been completed, they're provided confidence to the pharma companies that such trials can be run commercially. Whilst the accelerated approval of Biogen aducanumab was not a commercial success, it did demonstrate for pharma companies, the regulator was willing to work with the pharma companies to find an avenue for their drugs to market. And that was really important in providing confidence to the pharma companies. As we look forward, should Eisai drug lecanemab, received approval and that will confirm that, that regulatory pathway exists. And further, as I can secure Medicare reimbursement of their drug that will provide additional confidence in relation to the commercial opportunity. Thereafter, the goal will be to provide improved options for treatment for patients such as oral treatment or subcutaneous injection as an improvement to an infusion and attending an infusion center. And finally, we think that there will be an expectation that combination therapies will provide further improved health outcomes in the future. When we look at what's happening at the moment in terms of potential drugs coming to market, really focusing around the development of 2 companies, Eisai and Eli Lilly ASOS drug, lecanemab, which will be branded LEQEMBI in the United States. The positive data was released just before the end of '22 calendar year showing 27% slowing of cognitive decline in that Phase III study. That drug has now received accelerated approval by the FDA, which doesn't mean much from a commercial point of view. They have lodged their application for full approval in the United States that received priority review status in Japan. They've submitted their marketing authorization application in Europe. And only minutes ago, they announced that they'd received priority review status in China as well. U.S. pricing has been announced at $26,500 per annum per patient. That's a substantial reduction on the pricing that was announced by Biogen in respect to their drug aducanumab. And I note there that, again, this is a monoclonal antibody that requires an infusion and so patients need to attend in the fusion center to receive that treatment. But this -- they're undergoing a subcutaneous trial at the moment. Just moving now to the -- some other thoughts in relation to Alzheimer's disease. And perhaps this is self-evident. But the different administrations are moving to a subcutaneous injection means additional trials and so it means additional work for companies such as Cogstate. And I think that's important for investors to understand in terms of the work that we're doing with our partners and how that is -- how that work is progressing. And as they move into new treatment options for these drugs that it provides additional trial opportunities for Cogstate. The other thing that's really important to understand is that once these drugs get approval, there's going to be other studies that are required of the pharma companies. And that will include real-world evidence studies, where we go from -- we move out of clinical trials and advanced Alzheimer's disease research centers, and we move into the community. And when we do that, we're going to need to think about different ways of measuring cognition. And we think that the Cogstate technology is really well placed to leverage into those opportunities. I want to talk briefly now about the announcement today of a share buyback. We've announced the Cogstate will buy back up to USD 13 million of COGS at ordinary shares. This really reflects the Board position that the future commercial prospects that we see in the business aren't really reflected in our share price as it sits today. It obviously also reflects our strong capital position and supports the Board's ambition to improve returns for shareholders. We'll initiate that buyback over the coming weeks. There's some forms and some regulatory waiting periods that we need to go through before we launch that program, but that will kick off from the 20th of March, and we hope that, that helps return -- improve returns for shareholders. Finally, I want to talk to the -- talk to the financial guidance that we've provided to the market this was provided on Friday of last week. We note that the second half revenue is expected to increase over that was recorded for the first half of '23. But noting that the full year revenue to June 2023 is expected to be approximately 6% to 9% below those FY '22 levels. Contribution margin for the business in the -- for clinical trials, I should say, in the second half of '23 expected to be in the range of 52% to 55%. And for the full year in the range of 48% to 52%. Our health care business is expected to be consistent with the first half of '22. From an earnings perspective, for the full year, we expect EBITDA to be in the range of 12%, 15% of revenue. We expect EBIT will be in the range of 6% to 8% of revenue. We expect to be cash flow positive from an operating perspective for the second half of '23. With that, I want to open up to questions. I will remind everybody again that there's 2 ways you can ask a question, you can type it end of the section there or you can raise your hand and your line will become unmuted.
Ruth Ray: Thanks so much, Brad and Darren, we appreciate getting to hear the updates here. My name is Ruth, I am on the marketing team here at Cogstate and I will be moderating our Q&A section. We have a bunch of questions that have come in, so we're going to dive right in. So Brad, you were speaking of the potential for larger AD trials in the coming years. To what extent does enrollment become a limiting factor to growth? And is there an opportunity for Cogstate to provide solutions to improve the recruitment process.
Bradley O'Connor: That's a really good question. I think it's important to note when we're talking about -- and obviously, through our announcements over the last week, we've talked quite a bit about enrollment delays. It's important to understand the types of studies where we're seeing those delays. And those are studies of preclinical Alzheimer's disease. So these are patients who have presence of amyloid on their brain, but they're not yet suffering cognitive impairment that would be associated with the clinical classification of dementia. So those patients are really hard to find. By definition, they're not sick. And so they're not at the doctor. I think it's important to note that at this stage, we're not seeing recruitment issues that have not at least issues, we haven't seen a change in issues in respect of recruitment into early Alzheimer's disease studies. So these -- so the studies of people with dementia. Now into the future, when drugs come on market, will we see competition for patients between those who are on drug versus being prescribed drug from their neurologist or their family doctor versus those who are going to be enrolled in clinical trials? I think that's a fair question. And certainly, that's been an issue that's been seen in other indications when you've seen first-line treatments come on to market. So that's something that the whole industry is going to have to deal with, and we're going to have to get better at identifying patients. But I think also what happens is that once there is a disease-modifying treatment on market, people test themselves more. And this is sort of fundamental to our investment hypothesis is that the release of Alzheimer's drugs means that people are more interested in understanding whether they're suffering from cognitive decline because they understand that there's something that can be done about that decline. And that's really important. So as we're identifying more people who are suffering from cognitive decline because we know what's under reported in the community, there will be more opportunities to recruit those people into trials.
Ruth Ray: Brad. That's really helpful. And we do have some follow-up questions or let's see exploring other elements of the recruitment delays. One of them is -- so at the AGM, the most recent, the large Phase III trial recruitment was expected to speed up after the tow supply issue was solved. What challenges emerge that continue to make that recruitment slow. And to that, did the LEQEMBI approval and the CMS reimbursement policy play any positive or negative role in the recruitment delay and other new contract execution delays. And I'm going to ask one more on this. Is there a chance that the continued patient recruitment delay could mean a cancellation of the study?
Bradley O'Connor: So let's deal with the last part of that question first, and let's come back to work back around. So in terms of the risk of the study, I think really important to note that these are critically important studies for the pharma companies that are running them. Certainly, the market cap of those companies reflects has an element of potential approval embedded within their valuation. And therefore, we think it's very unlikely that the pharma companies would essentially give up on these drugs. We think that there's just too much at risk much has already been invested to do that. In terms of what we presented at the AGM and how that has changed, I think it's really important to note that we are seeing improvement on a month-to-month basis in terms of the patients that are being recruited into the study. So the numbers are getting better. They're just not getting better as fast as we might have thought or might have hoped. But we're seeing about a 20% month-on-month increase in the number of patients that have been recruited into those studies. So we are getting there. As I said, just not getting there as fast as we might have thought. In terms of potential approval of LEQEMBI and CMS decisions, I think the biggest thing that potentially has an impact for the Cogstate business is in the statement that was released by CMS in the United States, referencing our reimbursement drug. It essentially -- and I suppose I hedge my comments here and the fact that it's -- I'm talking about a 1-page release. And obviously, we haven't had a lot of time to analyze the impact of this. But I think it does potentially open up the need to run registry trials and push patients who are on drug into those registry trials. And so we think from a Cogstate perspective that, that provides additional revenue opportunities for us. So net-net, that's probably positive for Cogstate, but I hedged those comments, as I said, around the fact that we're talking about a release that's somewhat vague, and we haven't had time to really dig into what that means in detail.
Ruth Ray: Thanks, Brad. The next question, I'm going to go ahead. We have a hand raised from Claude Walker. Claude, I'm going to go ahead and unmute you. I am doing that now. Okay, Claude, you are now unmuted. You might also have to hit on your side, if you don't mind going ahead and asking that question.
Claude Walker: Brad, I just wanted to take you back to Monday, the 21st of February when the takeover discussions had already ended, and then the Cogstate share price started crashing on quite high volume after having been beat up previously on unusually high volume. At that point, on the Monday, you must have realized that clearly there was information asymmetry in the market, you have some of your shareholders, no idea what's going on. Other of your shareholders are selling because they know this takeover has gone through. Why didn't on Monday, the company go into trading halt and announce what had happened, given that was clearly having an impact on the share price and some people would have been buying at, for example, $2 without knowing that there's been sort of a takeover falling through, which is clearly market sensitive because it was moving the share price. Why did the company itself not announce this information? Why did you wait until the ASX put you into a trading cost?
Bradley O'Connor: So Cloud, I'm not sure exactly -- so thankful for your question, and thank you for your interest firstly. I'm not sure exactly of my legal standing in terms of what I'm able to and not able to comment on. But let me say this, -- that we were in discussions with the ASX from early Monday morning. And so the ASX we're aware of exactly what was going on, and we gave them full visibility in relation to those in relation to those discussions that have ceased. And it was the ASX advice that we -- that essentially we take a watching brief in relation to how the stock performed. Could we or should we have done things differently with the benefit of hindsight, I think that's -- I think your -- what you did frame it as a criticism. I thank you for that. But I think your point that you've made is a really relevant one. But I think through that process, we'll be guided by the ASX and their view on how that should be handled.
Ruth Ray: Thanks, Brad and Cloud. If you have a follow-up, feel free to enter in the chat as well. So moving into another question, we have 13% of bookings through channel partners typical and where could this percent go to over time?
Bradley O'Connor: So no, that's -- thank you again for that question. No. So the 13% through channel partners is an improvement on what we've seen in prior periods, which is why we noted it. We have noted over the last couple of presentations like this that we've done. Our desire to increase sales through channel partners, we saw that as an opportunity where we've embedded our technology within those partners offering, and we've sought to increase sales by leveraging their sales team. So we're cautiously optimistic in terms of how that is tracking, how those activities are tracking. We were pleased with 13%. In terms of over time, I'd like to see that as a much larger percentage of total bookings. And I think there is really that opportunity. It certainly takes time to embed our technology and to educate both sales teams on how to take that to market, but we see that as a significant opportunity...
Ruth Ray: Thanks, Brad. Next, we've got how much of bookings in the half were related to additional lucanumab trials post readout.
Bradley O'Connor: Look, I've got to be careful there in terms of breaching confidentiality. But what I would say is it's not a substantial portion in terms of bookings for the December half year.
Ruth Ray: Great. Next question we have is, you achieved the lower end of clinical trial revenue given at AGM, 12% lower than PCP. Why did the segment margin drop further to 46.5%, which is well down from the 48% lower end margin guidance? Your fixed cost base clearly is higher now at what group revenue and clinical trial revenue level could we expect EBIT percent back to at least 20%?
Bradley O'Connor: Yes. So look, I think we guided to as you suggest the 48% margin for the Clinical Trials segment, the actual result was 46%. So you're talking a few hundred thousand dollars of difference there. And again, referencing those additional costs that we've incurred in the clinical trials area. And really, that's around making sure that our business is set up for growth. So as I said earlier, we're trying to manage 2 streams here that from a sales and opportunity perspective, we see substantial growth and upside, but we're managing revenue that's just not coming through as fast as we would have thought. As you correctly state, we ended at the bottom end of the revenue range we would have liked to have been towards the upper end of the revenue range. In terms of getting margins back EBIT margins about 20%, but we believe there's substantial revenue growth built into the fiscal '24 year already. We're looking at some sizable sales opportunities that we're seeking to execute in the June half year. And should we be able to do that, then I think that sets us up for some really good revenue growth in fiscal '24, we would be seeking to get clinical trials contribution margin back into that sort of -- if you look over the last 3 half year periods before this current period, then clinical trials margins in the range of 57% to 61%. We'd be seeking to get those margins back into that area. And I think provided we can do that, we should be able to get those EBIT margins back to sort of that sort of 20% EBIT margin range.
Ruth Ray: Great. Going back to a previous topic, would you be able to comment on why the company entered into a potential sales process when the future seems very bright at the moment?
Bradley O'Connor: That's a good question. Look, I think the answer to that is that everything and every company is for sale at the right price. It's our job as an executive team and our job at the Board to try and maximize returns for shareholders. That means that we're not the sale at any price. And ultimately, I think the transaction didn't occur because we couldn't get agreement in terms of what represents fair value for the risk associated with that growth that we see there. But of course, it's not guaranteed. And there's a price at which for the Costa shareholders, the Board would view that the upfront premium or multiple from where we're trading today would be a good return for shareholders, notwithstanding the fact that there's great growth prospects for the business, but those things are never guaranteed in time. And so it's about trading that off and we'll be unapologetic about seeking to maximize returns for our shareholders. And if that means at some point, selling the business to a strategic buyer, we would consider that. But it's going to be a reference to, as you suggest, our growth and the price of the premium that's being offered.
Ruth Ray: Thanks so much, Brad. We're going to take just a couple more questions here, everyone. One of them is how many major channel partners do you have and however we choose to define major?
Bradley O'Connor: Yes. So major by current activity or major by desire and potential, I think, are 2 different things. But look, I think at the moment, we would suggest that we probably have 3 major channel partners we're seeking to sell through their substantial companies with substantial market penetration in that clinical trials market. And as I said earlier, we think there's a really significant opportunity for us to leverage off the market penetration that those companies already have and to offer an additional service that is the cognitive assessment that links into their existing offering.
Ruth Ray: Great. We'll go ahead and go into this last question, which goes a little bit more into beyond the here and now. What does Cogstate need to be doing now to prepare for the future of cognitive testing in 5 or 10 years?
Bradley O'Connor: That's an excellent question. I don't know what I can talk about is some of the things we are doing. So the first is that we're continuing to invest in new versions or new generation of Cognitive assessment. We understand that taking cognitive assessment out of highly skilled Alzheimer's disease research centers or neurologist offices is important, putting that cognitive assessment in the hands of general practitioner clinicians or even in the hands of individuals themselves. It's critical. To do that, we need we need to be able to move to smartphone technology and we've been investing in that substantially. We've got a second generation of our voice base less learning test currently going through scientific validation. We've got high hopes for that. So it's about developing not just well validated scientifically cognitive assessment, but is making sure that those are easy to use and they're easy to access without a need for any special equipment. It's about continuing to work on the scientific validation of those assessments. We have been investing heavily in building out a data lake, which enables us to ingest, analyze and report data in a much more efficient and a much more robust manner. We need to be thinking about analyzing that data to show improved sensitivity of our assessments. And we believe that as we get out into the community and we're assessing a much larger number of people will have the ability to analyze that large data set and hopefully show improved sensitivity of those assessments. And then I think just being able to really push our assessments on --into other technology platforms and is really critical to the future and being able to link those assessments with other health biomarkers, whether they be active or passive health biomarkers. I think it's some of the critical aspects that we want to focus on over the coming years.
Ruth Ray: Thanks so much, Brad. Many things to come. And thank you all for the questions that were submitted. We appreciate the participation. And with that, I'll turn the time back Brad. Darren, any final words you'd like to say to attendees.
Bradley O'Connor: I'd just like to thank everybody for your continuing interest in Cogstate. I think just to close out in terms of the potential transaction, the potential control transaction that we announced to the market last week. I think the takeaway for me in respect of that is there is a substantial desire from a number of participants in our industry to move into central nervous system diseases. And I think Cogstate is really well placed to facilitate that. The market opportunity is growing. And I think we're well positioned, but we want to make sure we maximize our returns for shareholders into the future. But I'd just like to thank everyone again for your attendance of this session and your interest in the company.
Ruth Ray: Thanks so much, everyone. Have a great day.